Operator: Ladies and gentlemen, welcome to the ElringKlinger AG Q3 2025 Earnings Conference Call. I am Maira, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Thomas Jessulat, CEO. Please go ahead.
Thomas Jessulat: Ladies and gentlemen, welcome to our earnings call for the third quarter of 2025. Also on behalf of my colleague on the Board here, our CFO, Ms. Isabelle Damen. Today, I will start with some highlights also from a strategic perspective, and my colleague, Isabelle, will walk you through the key results for Q3. With this publication, we reaffirm our guidance for 2025 as well as our medium-term outlook originally communicated in the annual report in March. As always, we will conclude the presentation under the Q&A session, and we look forward to addressing your questions. We advanced the implementation of our SHAPE30 transformation strategy as a top priority. Since its launch last year, we have made significant process in reshaping the ElringKlinger Group and further measures are in process. Another measure is the STREAMLINE program, which aims to reduce personnel costs. Initial savings are expected to take effect in 2026 with full savings realized by 2027. In addition, our organic sales performance during the first 9 months of 2025 grew by 2.2% compared to the previous year, outperforming the European market, which recorded a decline of 1.7% over the same period. We're making significant process in the field of e-mobility. Operations have started at our e-mobility hub Americas in Easley, South Carolina, which is in preparation for production ramp-up. At the same time, we are gearing up for production chart also in China. After a phase of substantial investments, our CapEx level is expected to normalize to a more moderate level going forward. SHAPE30 represents our road map for transforming the group given the profound changes in our industry. Our transformation strategy is designed to improve profitability and cash flow. We have already taken significant steps along this path, including the sale of 2 companies in the U.S. and Switzerland, the discontinuation of the electric drive systems and with a reinforced focus on profitable components. In this context, measures to strengthen the balance sheet have also been implemented. These actions are now complemented by a strict cost reduction plan. One of its elements is the STREAMLINE program, which targets at least EUR 30 million in global staff cost savings. Shaping the profile of the group summarizes one dimension of the SHAPE30 activities. The other dimension encompasses the preparation for future growth based on the received nominations of the past quarters. And in this context, we have successfully initiated the ramp-up of major e-mobility projects. Currently, we're completing the final steps for the start of production, focusing on cell contacting systems and battery components. As part of the product transformation at ElringKlinger, we have made initial investments in production and space and equipment. At present, we're getting closer to the end of the investment cycle. Along this, we'll return to a more disciplined CapEx level according to our mid-term target of 2% to 4% of group sales. With having said this, now I hand over to my CFO colleague on the Board, Ms. Isabelle Damen.
Isabelle Damen: Thank you, Thomas. I will now provide you with some more details on our financial performance in the third quarter of '25. At the first glance, the order intake appears to have declined by around 3%. However, we reported slight growth in organic terms compared to the prior year period. This is primarily due to the fact that last year's figures still included contributions amounting to EUR 21.1 million from the divested entities, which have not been part of the group since December 31, 2024. Despite the challenging market environment, we see a positive development in the underlying business. Organically, which means adjusted for the M&A effects and exchange rate development, order intake increased by EUR 16.6 million or 3.6% to EUR 477 million. The order backlog representing customers' cumulative short-term call-offs not yet realized, stood at EUR 1.1 billion at the end of the third quarter of '25. For comparison, the previous year's reporting period showed EUR 1.3 billion, a figure that still included the backdrop on the 2 group entities divested, which amounts to EUR 136 million. Starting with the sales and an organic change on Slide #5. In a challenging market environment, ElringKlinger generated revenue of EUR 396 million in the third quarter of 2025, representing a year-on-year decline of 10% according to reported figures. But figures have been affected by M&A as well as FX for this quarter. The 2 entities in Switzerland and the United States had contributed revenue of EUR 34.1 million in the third quarter of '24. This means the relevant basis for a year-on-year comparison will be EUR 407 million. Additionally, revenue was diluted by currency effects equivalent to EUR 8.1 million. All in all, when excluding currency and M&A effects, revenue declined organically by 0.6% in the third quarter of 2025, remaining at a relative stable level compared to the previous year. While global automotive production in the third quarter was 4.4% higher than the prior year level, Europe, ElringKlinger's core market, posted only a modest increase of 1.2% in the third quarter and Germany declined by 3.6%. When considering year-to-date sales figures, prior year's numbers included EUR 123 million from the divested entities. With this in mind, sales in the first 3 quarters of '24 amounted to EUR 1.228 billion, in line with the first 9 months of this year. When taking into account FX effects, organic sales even increased by 2.2% year-to-date. The global production market grew by 3.8% over the first 9 months, mainly driven by China. ElringKlinger's core market, Europe even contracted by 1.7% in the first 9 months. This disparity underscores the challenging conditions in ElringKlinger's primary market where limited momentum contrasts with stronger global trends. The sales mix presented on Slide 7 provides a more detailed breakdown of the factors behind organic sales. Within the segment breakdown, the Original Equipment segment remains the largest contributor, accounting for 66% of total group revenue, which corresponds to EUR 262 million in sales. Compared to the same quarter last year, revenue in this segment declined, mainly due to the divestment of the 2 entities in the U.S.A. and Switzerland as well as ongoing challenging market conditions. Within the OE segment, E-Mobility generated sales of EUR 26.3 million in the third quarter of '25. This business unit is currently in a ramp-up phase for upcoming large-scale serial orders, underlying its strategic importance for the group's transformation. The divestment of the 2 entities has also been reflected in the decline in the Metal Forming & Assembly Technology business unit. The Aftermarket segment continues its strong performance, increasing sales from EUR 32.8 million in Q3 '24 to EUR 37.4 million in the third quarter of '25. Growth was achieved in the Asia-Pacific region, South America and the rest of the world, while revenues in Europe and North America declined year-on-year. In addition to currency headwinds and a general weak market environment, the primary factor behind this trend was the divestment of the 2 entities in the U.S. and Switzerland. Adjusted EBITDA of the group declined to EUR 41.1 million compared to EUR 51.4 million in the last year's third quarter. In Q3, adjusted EBIT reached EUR 21.2 million, corresponding to a margin of 5.4%, which is even above the full year target of around 5%. Adjustments totaling EUR 16.7 million almost exclusively relate to exceptional items from the STREAMLINE program to structurally reduce personnel costs in the context of SHAPE30 transformation strategy. Reported EBIT amounted to EUR 4.5 million, corresponding to a margin of 1.1%. This is a noticeable improvement to the same quarter last year when EBIT reported stood at minus EUR 35.2 million. Thanks to the strategic measures implemented as part of the company's transformation strategy, the group is well positioned to maintain a solid adjusted EBIT margin at a comparable high level. These actions refer to an EBIT improvement of EUR 4 million and created a more resilient foundation for sustainable performance, although have been more than compensated in the third quarter by effects like tariffs totaling EUR 2 million or others amounting to EUR 2.7 million, such as ramp-up costs for the large-scale orders in South Carolina and China. In addition, the release of provisions of EUR 1.1 million in Q3 '24 has to be considered. In the third quarter, the R&D ratio rose to 5.9%, while absolute R&D spending edged down year-on-year slightly from EUR 24 million to EUR 23.5 million. This keeps the company comfortable within its target range of 5% to 6% of group revenue. In the third quarter of '25, ElringKlinger reported net working capital of EUR 389 million. The corresponding ratio stood 23.2%, bringing the group to its short- and medium-term goal of maintaining the figure below 25%. This development highlights ongoing initiatives to improve capital efficiency and enhance operational flexibility in parallel to sales activities relating to the ramp-up. Following elevated expenditures around the turn of the year in Q4 '24 and Q1 '25, CapEx has been lowered in the second quarter. As anticipated, this figure was quite stable in absolute numbers in Q3 with CapEx at EUR 27.8 million and a CapEx ratio of 7%. It is expected to lower this level starting next year and realize a CapEx ratio level of around 2% to 4% in the mid-term as well. Regarding the cash flow in the third quarter in '25, the group maintained a positive level of performance as in Q2 and achieved an operating free cash flow of EUR 18 million. This underscores the continued benefit of disciplined financial management and the sustained impact of working capital measures even in a challenging market environment. And it is the basis for reaching our target range of 1% to 2% of sales with a strong fourth quarter as we had last year. This is what we are currently working hard on. Net financial debt slightly increased to EUR 389 million, corresponding to a net debt EBITDA ratio of 2.2. And last but not least, group equity totaled EUR 653 million by the end of the third quarter of '25, slightly below the EUR 659 million recorded at the close of Q2 '25. Coming to the segment performance on Slide 11. In the third quarter of 2025, the OE segment generated sales of EUR 262 million. When comparing this to the prior year figure, it's important to account for a sales contribution of EUR 34.1 million from divested entities. The adjusted segment EBIT margin stood at minus 0.8%. The aftermarket segment is successfully advancing its growth strategy, delivering yet again a quarterly increase in revenue. In the third quarter of 2025, sales reached EUR 96.1 million, which implies a growth of 13.2% compared to a previous year's quarter. With an adjusted EBIT margin of 18%, the segment once again delivered a strong level of profitability. The Engineered Plastics segment delivered a strong performance in the third quarter of '25, supported by its broad and diversified industry mix. The segment recorded sales of EUR 37.4 million, marking an increase of EUR 4.6 million compared to the same quarter last year. With an improved adjusted EBIT margin of 13.4%, the segment demonstrated its resilience in a challenging market environment. Now I'll hand back to Thomas Jessulat for concluding words on the market and the outlook.
Thomas Jessulat: Thank you, Isabelle. Let us now turn our attention to the market expectations and the group's outlook. Let me quickly show you our agenda for Q4 in the upcoming quarters. We anticipate a weaker fourth quarter with regard to the market, while the outlook for fiscal year 2026 suggests largely sideways movement on a global scale. Against this backdrop, we'll continue to prepare for entering the sales cycle, strengthen profitable business areas and continue to refine the group's profile to ensure sustainable performance. Our focus remains on our SHAPE30 targets, which is increasing the group's profitability, particularly, of course, in the OE segment and sustainably generating cash flow. This is crucial to enhance the group's resilience and competitiveness. We are continuing the ramp-up of additional large-scale e-mobility projects, building on the progress achieved in previous quarters. Following a CapEx-intensive phase, capital expenditure will normalize from next year onwards and reach a disciplined level of 2% to 4% in the medium-term. And at the same time, we maintain an elevated level of e-mobility sales supported by strong demand. Cash flow is projected to improve significantly in the fourth quarter, recovering from the weaker start in Q1. Market dynamics remain uneven and are expected to persist into 2025. While global light vehicle production shows a positive trajectory overall, the regional picture is mixed. China continues to gain momentum with strong growth for the full year, whereas Europe and especially North America, ElringKlinger's main markets are still struggling to recover. This contrast reflects the year-on-year development from 2024 to the forecast for 2025. Robust expansion in China is helping to cushion the impact of weaker demand in Europe and North America and therefore, ensuring that global production maintains a stable growth path. We now turn our attention to the forecast for the fourth quarter of 2025. Current projections indicate a decline in light vehicle production across all regions during Q4, including Asia-Pacific, which has been the strongest region so far with China as the main growth driver. This anticipated slowdown highlights the high volatility that characterizes the automotive industry. Overall, the automotive market is showing a growth of 2% in 2025, while Europe is expected to face a decline of 1.8% over the same period. I will close my comments with a remark on the outlook. Despite this short-term moderation of markets, we remain committed to our strategic targets and are preparing for the next growth cycle driven by serious production orders, particularly in the E-Mobility segment. Against the volatile backdrop, we confirm the outlook published in the fiscal year 2024 annual report, including organic sales at prior year levels and adjusted EBIT margin of around 5% and operating free cash flow between approximately 1% and 3% of revenue. Based on our strategic measures, we aim for a mid-term adjusted EBIT margin range of approximately 7% to 8%. With having said this, Isabelle Damen and I are now ready to answer your questions.
Operator: [Operator Instructions] The first question comes from the line of Marc-Rene Tonn from Warburg Research.
Marc-Rene Tonn: Basically 3, if I may. The first one would be on the e-mobility sales outlook for the fourth quarter as you are now ramping up for the new orders, which are, let's say, coming into production at your customer. Can you give us some indication when we should expect the top line contribution to be more pronounced on your side? Will it already be Q4? Is it more beginning of next year? That would be the first question. The second one would be on special items, whether we should expect any additional restructuring expenses for the fourth quarter between adjusted EBIT and the EBIT line? And lastly, on EKPO. When I look at your -- let's say, on the minorities line, I think it's minus EUR 2.5 million, if I'm not mistaken, for the third quarter, minus EUR 5.5 million for the first 9 months, basically representing about, let's say, 40% of the net profit or net loss in this case of that business. So obviously, a large drain on your operating performance when we're looking at EBIT. Do you expect any improvement on that side going forward? Or what could be potential measures to, let's say, stabilize or improve the situation on that side?
Isabelle Damen: Thank you for your questions, Marc. Sorry, I lost my voice a bit. I'll answer the second question for you. If we expect some special items in Q4, as we are still in transition, we might still expect some -- and we're not [ completely true ] with our plan. So we might still expect some impact in the fourth quarter of our restructuring measures.
Thomas Jessulat: Okay. On the e-mobility sales for the fourth quarter will step-by-step will be ramping up. On the same time, it's not so sure if it is showing significantly. It will show, I'm sure, but it will not -- in Q4, it will not be showing significantly as a contribution. And certainly, starting from next year on, expectation is that we'll see top line growing in regard to e-mobility sales. Okay. Third question from your side on EKPO, there is a lot of activity that we have right now in regard to cost reduction as part of our global, of course, cost reduction measures. And we would expect that we have some good progress here between Q4 and Q1 next year. So in fact, it is still in a start-up loss-making situation here, EKPO, but also here, we are working on reductions in order to minimize the impact here to the EK Group. Is that answering your question?
Marc-Rene Tonn: It does. Just one quick follow-up, if I may. Could you remind -- and not related to that, could you remind us on the incremental increase of net indebtedness from the IFRS 16 accounting for the -- what we have to expect for the fourth quarter from the U.S. facility?
Thomas Jessulat: Yes. When we look at IFRS 16 specifically, then we are at roughly EUR 90 million right now, which compares to EUR 47 million to previous year's quarter and expectation for Q4 this year will be roughly EUR 30 million addition. Yes, this is an estimation. So it's a mid-double-digit million euro figure, maybe a little bit less than EUR 40 million. This is the expectation that we have right now.
Operator: The next question is from Michael Punzet from DZ Bank.
Michael Punzet: I have only one left with regard to your OE business. You're still in the red figures for Q3 on an adjusted basis. Can you have any kind of time when we could expect a positive run rate on a quarterly base? Is that a thing we could expect for 2026? Or is it -- or [ happily ] wait until 2027 when all the positive impacts from your cost reduction program came in?
Thomas Jessulat: Yes. When we look at the year, right now, we are in an expected frame in regard to the current results. We are on the way with the STREAMLINE program. We are making progress here. So that is having already some positive impact here, but not yet a full impact in terms of our activities here in 2025. Expectation is that we'll see if there's no negative impact from the market of some significant sort that we'll see some impact here first half of next year also on the OE segment.
Operator: [Operator Instructions] The next question comes from Tobias Willems from LBBW.
Tobias Willems: Tobias Willems, LBBW. I have one question left regarding on your company strategy and your reshaping programs. Will we see further divestments in the years ahead, let's say, in 2026 and 2027, especially in the automotive segment?
Thomas Jessulat: Yes. Thank you for your question. What to expect going forward? One, it is a continuation of the transformation path into 2026. We'll have also like Isabelle has said, we'll have the expectation of some more adjustments, but adjustments are going to be getting smaller going forward compared to what we have seen in the past. We'll see -- in 2026, we'll see the following. We'll see a reduction of the balance sheet size because we have quite a figure. It's a high double-digit figure right now on our balance sheet of items, tooling equipment that will be sold off to customers. So we'll see a reduction of balance sheet size in 2026, going into 2026. And we'll also see an improvement of financial KPIs based on the impact of all the activities done in 2025. So that I would say is a very general comment that we have laid a lot of groundwork here for improvements that we expect to kick in, in 2026. And we also have to say that some items are still in process where it is, to some extent, uncertain if they have an impact in 2025 or beginning of 2026.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Thomas Jessulat for any closing remarks.
Thomas Jessulat: Thank you very much for joining our Q3 conference call today. We truly appreciate your continued interest and support, and we look forward to meeting you either next week at our Capital Markets Day or during our next update when we present the full year figures. Until then, we wish you all the best for the weeks ahead.